Operator: Ladies and gentlemen, thank you for standing by, and welcome to Skyward Specialty Insurance Group, Inc. First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. You would then hear an automated message advising your hand is raised. To withdraw your question, please press 11 again. Please be advised that today's conference is being recorded. I would like now to turn the conference over to Natalie Schoolcraft, Vice President of Investor Relations. Please go ahead.
Natalie Schoolcraft: Thank you, Michelle. Good morning, everyone, and welcome to our first quarter 2025 earnings conference call. Today, I am joined by our Chairman and Chief Executive Officer Andrew Robinson and Chief Financial Officer, Mark Hochul. We will begin the call today with our prepared remarks, and then we will open the lines for questions. Our comments today may include forward-looking statements, which by their nature involve a number of risk factors and uncertainties which may affect future financial performance. Such risk factors may cause actual results to differ materially from those contained in our projections or forward-looking statements. These types of factors are discussed in our press release, as well as in our 10-K that was previously filed with the Securities and Exchange Commission. Financial schedules containing reconciliations of certain non-GAAP measures along with other supplemental financial schedules are included as part of our press release and available on our website under the investors section. With that, I will turn the call over to Andrew. Andrew?
Andrew Robinson: Thank you, Natalie. Morning, everyone, and thank you for joining us. We had a great start to the year reporting net income of $42 million and adjusted operating income of $37.3 million driven by $28.5 million of underwriting income. For the quarter, our adjusted operating income was $0.90 per diluted share. Each metric I highlighted is the best reported in company history. Our strong growth this quarter of 17% is a direct result of our diversified business portfolio and the strong execution of our Rule Our Niche strategy. In this quarter, our A and H division and our Global Agriculture unit were standouts in delivering extraordinary growth, while transactional E and S surety, and specialty programs all contributed nicely to our growth. In this quarter, we had the widest spread of growth across our divisions that we've experienced as a public company. We believe the diversity of our portfolio is unique to a company of our size and allows us to rapidly reallocate capital to underwriting units that offer the greatest returns and, importantly, to continue to deliver strong growth in operating income when many others in this market will struggle to do so. I'll talk more about this later in the call. With that, I'll turn the call over to Mark to discuss our financial results in greater detail. Mark?
Mark Hochul: Thank you, Andrew. We had another strong quarter, reporting company-best adjusted operating income of $37.3 million or $0.90 per diluted share and net income of $42.1 million or $1.01 per diluted share. Gross written premiums grew by 17% for the quarter. Agriculture, accident and health, specialty programs, transactional E and S, and surety each contributed meaningfully to growth this quarter. Net written premiums grew by 20%, and our net retention of 64.1% was up over the prior year of 62.6% but in line with our full prior year net retention. We added agriculture and credit insurance and reinsurance as our ninth division. Previously, we consolidated agriculture with Global Property, and Credit With Surety. While in the quarter, this division accounted for 16% of our gross written premiums, there is significant seasonality to these lines and we expect that this division will account for 10 to 12% of our premiums for the full year. Turning to our underwriting results. Our first quarter combined ratio was 90.5%, and included 2.2 points of cat losses, principally from Midwest convective storms and California wildfires. The non-cat loss ratio of 60.2% for the quarter improved 0.4 points compared to 2024 and is also the best in company history. For the quarter, we did not recognize any prior year loss development yet we saw favorable emergence. Our reserve position continues to be strong as IBNR now makes up in excess of 70% of net reserves, up from 69% at December 31. As we have discussed previously, the proportion of our IBNR to total reserves has increased while we have also shortened our liability durations and increased the speed of recognition in claims. The expense ratio of 28.1 improved 0.6 points over the prior year quarter and was in line with our expectations of sub-thirties. The business mix shift continued to impact acquisition costs for the quarter, but was offset by improvements in our other operating and general expenses ratio benefiting from the scale of our business. We expect our expense ratio to increase somewhat over the remainder of the year but still targeting sub-thirties. Turning to our investment results. We reported net investment income of $19.3 million in the quarter, compared to $18.3 million a year ago. In the first quarter, we put $126 million to work at 6%. In the first quarter, we found better relative value in structure versus investment grade corporate credit as credit spreads were near all-time tight levels. The net investment income from our fixed income portfolio increased to $16.7 million from $12.5 million in the first quarter of 2024, driven by a higher portfolio yield and a significant increase in the invested asset base. Our embedded yield was 5.2% at March 31, versus 4.7% a year ago, and 5.1% at December 31. We reported a loss of $2.1 million in our alternative and strategic investments portfolio due to the change in the fair value of limited partnership investments. Our financial leverage is modest as we finished the quarter with a low 12% debt to capital ratio. Given our undrawn capacity from our revolver, and our current leverage, we have ample debt financing flexibility. Our effective tax rate of 18.2% was 3.5 points lower than the first quarter of 2024 driven by stock-based compensation awards that vest in the first quarter of each year. By the end of 2025, we expect our full-year effective tax rate to be between 21-22%. With respect to the material weakness in IT controls that we reported at year-end, which I'll remind you had no impact on our financial statements, new controls and procedures have been designed and are in the process of being implemented. We expect to remediate the material weakness this year. Lastly, April 1 is when we renew property reinsurance programs, including our cat program, global property quota share, and property excess of loss. All of these renewals were orderly, and we are satisfied with the terms and structures of these programs. Our property cat treaty renewed at the expiring structure specifically a $15 million first event net retention and $36 million cover. Overall, our property placements provide greater protection at lower costs and or better terms. Now I'll turn the call back over to Andrew.
Andrew Robinson: Thank you, Mark. Our outstanding first quarter performance reflects the strength of our diversified portfolio, our underwriting discipline in light of the softening market across several lines, and our ability to adapt quickly to evolving market conditions. The Global Agriculture unit and accident health division contributed meaningfully to our growth this quarter. This is noteworthy since we're intentionally seeking growth in high-return areas that are less exposed to the P and C cycles. Our investment in our agriculture unit has been timely given the changes in the PNC backdrop. We serve markets that have government-subsidized programs, and we've constructed a well-diverse global portfolio. In specific instances, we've developed unique solutions that are in high demand from our clients, and our results so far are even better than we expected. We are very bullish that we can continue to grow earnings in this business with very attractive returns on capital. Our accident health division had strong growth in 2024, driven principally by our captive offering to the medical stop-loss market. The first quarter was a continuation of that trend plus a return to growth in the traditional stop-loss business. As a result of the failures of a handful of MGAs due to poor performance, we had anticipated this given irrational pricing and the market capacity that supports it. Just a reminder that we are not competing against companies focused on large accounts. Our focus is on smaller accounts generally with 500 lives or less. That said, the poor performance in the large group market has been a contributor to the improving conditions in the market we serve. Our USP around medical cost management is one reason we are winning. Our approach to claims is the second reason we are winning, as providers are systematically cost-shifting, which is a trend that will increase given the administration's cutback on health care funding. Our competitors are paying and pursuing as compared to our unique capabilities to negotiate final payment before any cash goes out the door. And, of course, our talent and technology are the third reason we're winning. We simply have an outstanding team. And as I've discussed in the past, we have a leadership position in technology including our use of AI and predictive analytics in risk selection and pricing. We continue to see a decrease in global property premiums but we are very pleased with the first quarter performance. We had 95 plus percent account retention, and while the market softened very quickly, we were prepared in our underwriting strategy to deploy our primary layer capacity over longer stretches to defend our position. This allowed us to keep accounts and maintain a strong risk-adjusted price while foregoing some premium to maintain underwriting margins. The strength and performance of our global property business were often lead on the primary layer was rewarded with a strong renewal of our quota share reinsurance program including an increasing capacity which will enable us to go further with the underwriting strategy I just outlined. Our lead role in writing the primary layer and when appropriate, leading the market and settling claims, plus our long-standing relationships with the chief risk officers of our insureds, strengthens our ability to weather what is clearly a tougher market. Beyond what I just noted, we had double-digit growth in transactional E and S, surety, and specialty programs. Transactional E and S remains a vibrant division and is a true surplus lines writer of property and liability. Our book is somewhat less exposed to the E and S light risk that flow back and forth between the admitted and non-admitted market. Nonetheless, there are no shortage of instances of behavior we observe in our market, in particular from fronted programs and certain MGAs. In surety, we are very mindful of both the potential economic slowdown and reduced federal funding, including that flowing to states and munis. We did observe a reduction in bonding activity for federal contractors. But on the other hand, our SBA activity continues to be strong. Overall, Q1 bid bond requests were up 19% from the prior year, and so notwithstanding my comments on the federal contracts, demand in Q1 was robust. In programs, our growth was originated by those program managers where we have an ownership position, which is roughly 75% of our total programs division. This ownership is a further measure of alignment in addition to the underwriting performance compensation structures we employ when we delegate authority. Professional lines were down slightly given softening conditions in the lines we target. Irresponsible competition is coming from a number of sources, but, again, fronted programs and certain MGAs seem to work on economics that is distinct from the rest of the industry. It will only be a matter of time before the irresponsible fronts in these MGAs and professional and transaction ENS and the capacity that supports those programs recognize the financial outcomes of their actions. Until then, we'll keep our powder dry. Lastly, construction and energy were somewhat impacted by our intentional actions in commercial auto and a selective approach on other casualty. That said, we continue to find attractive new business opportunities in both areas. Turning to operational metrics. We saw some improvements compared to the fourth quarter. On renewal pricing, we were consistent with our prior quarter at mid-single digits plus pure rate. Retention improved to roughly 80% for the quarter driven by business mix and the wrap-up of actions on commercial auto. Lastly, we continue to see strong submission growth, which was in the mid-teens this quarter and over 20% in transactional E and S. Altogether, our lower earnings volatility, earnings growth, our strong underwriting results, and strong returns on equity are direct outflow of the Skyward Specialty Insurance Group, Inc. team's excellent execution of our RulerNice strategy. We remain confident we'll continue to generate top quartile returns at all parts of the market cycle. I'd now like to turn the call back over to the operator to open up for Q and A. Operator?
Operator: Thank you. Star one one on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. The first question comes from Alex Scott with Barclays. Your line is open.
Alex Scott: Hey. Good morning. First one I had for you is on the growth opportunities you're seeing in agriculture and credit insurance in particular. And maybe if you could just give us a little more color and texture to what you're doing there and how it's driving such great growth?
Andrew Robinson: Yeah. Thanks. Thanks, Alex, and thanks for the question. So first on ag, you know, I don't know if I want to say too much more in this instance beyond what I said in the prepared remarks. What I will highlight, you know, we hired a just a fantastic industry veteran, James Tran, to lead our entry into it. And we had sort of the basic premise that we wanted to have a global portfolio we want to be well diversified. We didn't want to add volatility to our business. And I just think that, you know, he's brought that capability. I think we're probably active in, you know, probably eight or nine countries at this point. And what we have seen is just some great opportunities where we've been able to press down. They earn the same opportunities year to year. But James and his team have done an excellent job. And I think we just we feel very good about how we're approaching those markets, the position that we built quickly. And the portfolio that we have. And I think our just our general sense is that we have a line of sight for that to continue quite honestly, already with some very substantial treaty opportunities that are lined up for Q3. With credit, it's quite a diversified approach. So we started with a focus on mortgage. Obviously, it's a relatively quiet time in mortgage. We're an insurer for Fannie and Freddie. We're reinsurers for the PMIs. But the fellow that we hired, JP Latour, to lead that effort has also brought us into, you know, participate on a reinsurance basis and trade credit and other areas of credit insurance. And I think today, we're probably being a little bit more defensive than we were last year just simply because of the uncertain economic backdrop. And so in this quarter, that really wasn't a particularly meaningful contributor to the growth you saw in that reporting division.
Alex Scott: Got it. That's all helpful. The next one, I wanted to see if you could talk a little bit about the environment and just tariffs in general and how you're thinking about loss cost trend across your businesses. I mean, you know, you guys are in a lot of niche areas, so it's not always easy for us on the outside to kind of tell how some of these things would tunnel their way into your loss cost trend?
Andrew Robinson: Yeah. So great question, Alex. And you're right with how you framed it. You know, there's a lot about sort of the specifics of our business that probably makes unpacking it a little bit more difficult. But, you know, overall, I think we're still in the view that loss cost trend in our portfolio in total is somewhere in the five to six range. By and large, we've tried to limit the amount of exposure we have in what we see as being sort of the high inflation exposed bodily injury categories in casualty and liability. I think one of the things that we make that we do is we're keeping our limits short. Much of what we do in access is written over our own primary. And so, you know, from a casualty perspective, we're trying to keep it in check as much as we can. You know, on the property side, you know, there's probably a few different pieces to it. I think, you know, from an inflation related to tariffs, you know, we probably have some in APD and certain on the global property side, you know, reconstruction costs are going to go up. I think on the flip side, you know, much of what we have inside of our E and S portfolio is a cash value. And so I think it's less inflation exposed. And as I've mentioned in the past, as materials go up, we benefit from that on surety because effectively, you're getting a bond that's increasing in size without sort of a proportionate, you know, loss cost increase. And so we have some countermeasures that are beneficial in our book. I think the other thing I'd say to you, Alex, is that, you know, a little bit surprises, because we've listened to the questions that have come in prior calls. And while, you know, for us, we're certainly not ignoring the tariffs question. It's clearly on our thinking. We just think that there's so many other things that are going on in the economy to pay attention to that our leaders have started to prepare themselves and are monitoring, whether it be cost shifting in health care, going on. I think, you know, certainly, might impact the cost of drugs and particularly from coming from other countries. I will say that the, you know, the reduction in federal funds that are flowing downstream to states into munis is probably going to lead to a reduction in capital projects and some cost shifting going on. You know, watching sort of the credit environment, you know, we're watching obviously safety, you know, on job sites and so forth because you're going to have probably a reduction in oversight at OSHA. And if we have a softer economy, you know, the sort of the maintenance and attention to safety might come under pressure. So, you know, we're looking at all these things, and you layer on top of it potential, you know, economy that as it gets a little bit tougher, you start to see instances of moral hazard emerging. And so when we think about the environment, you know, we're thinking about all those things. And I have to sort of hand it to the leaders of our organization. They've done an excellent job of sort of outlining, you know, which of those things are potentially impactful to each of their businesses and how it is that we're preparing ourselves from a countermeasures perspective. And so I would just I'd widen the conversation and say, that's the dialogue, and I think we're probably about as well prepared as anybody can be. Given the uncertainty that we're seeing right now.
Alex Scott: Got it. Thank you.
Operator: And our next question comes from Matt Carletti with Citizens. Your line is open.
Matt Carletti: Hey. Thanks. Good morning. Andrew, you talked a bit in your opening comments about some of the extraordinary growth you saw in crop and A and H. And if I recall, kind of last year, there was definitely some, you know, for lack of a better term, seasonality to the growth rate across the year. Was hoping maybe you could just touch on that, how much kind of frame Q1 within kind of your expectations for the rest of the year and how much of that might be helped or hindered by some of the opportunities that are specific to kind of Q1 time frame.
Andrew Robinson: Yeah. Thanks, Matt. I appreciate the question because it does give us a chance to talk a little about this. So last year, I think you'll remember we grew at 20% for the full year. First quarter was a high growth quarter, second quarter was a lower growth quarter, third and fourth quarters were, again, high growth quarters. And there is definitely seasonality. I'll just I'll highlight a few of the items that are particularly important today. You know, the January 1 renewals in A and H is a monster renewal. It tends to make up over 50% of the annual written premium. And so if you're going to capture, you know, a market opportunity that's the moment in time that you're going to capture it. So it kind of amplifies what you see in terms of growth overall. And you saw that here. As I mentioned, you know, sort of the backdrop and the reasons why. You know, on the flip side, you know, it's a lower sort of renewal quarter in the second quarter. And conversely, global property the second quarter is the largest quarter for the year. And in the sort of go back two years, you'll see that it was an incredibly large growth quarter in global property. Last year, we were down a little bit, I think, six or 7%. And, you know, and, of course, you know, this year, we're in a tougher market. So, you know, I wouldn't be surprised if global property shrinks a bit. And so when we do look at it altogether, the second quarter is for us going to be a lower growth quarter. The third quarter will be a higher growth quarter. And the fourth quarter is really determined on what the sort of the end of the year competition looks like as folks are trying to close out their plans. But, I'll go back to what I said when we gave guidance last quarter. You know, we guided to a mid-teens growth number. We did that last year as well. Got in mid-teens last year. We delivered 20. This year, we got it to mid-teens again. And I feel confident, notwithstanding some of the uncertainty, you know, the economic backdrop that we're well positioned to deliver that and probably be at a rather distinctive level of growth for the year, you know, given our portfolio.
Matt Carletti: Great. That's super helpful. Thank you. And then if I could ask one more. Just on reserves, I think, Mark, you commented that there was, you know, obviously, you didn't release anything during the quarter, but that there was stable emergence behind the scenes and walked us through some of the other numbers. You just give a little color on kind of what areas of the book you're seeing that favorable emergence?
Mark Hochul: Sure. So, just a little bit of background. Look. We just finished year-end right where we did our ground up. So in the first quarter, what we rely on is our A to E. And in the quarter, 2020 or accident year 2020 and after emerged favorably. Specifically a map in property surety and professional liability. The occurrence liability lines also developed or emerged favorably for the same accident years. While we had a little bit of increase in the prior accident years, meaning '19 and prior, all in, Matt, we saw favorable emergence across the company. But we didn't recognize that. We've talked a lot about, here how we look at reserves relative to indicated seasonality and magnitude. And once the accident years, we feel like are mature, they'll converge. But all in, Matt, it was favorable emergence in the quarter, and our book versus indicated the margin is increased relative to where it was at the end of the year. That help?
Matt Carletti: That's perfect. Thanks for the color. Appreciate it.
Operator: And the next question is from Meyer Shields with KBW. Your line is open.
Meyer Shields: Oh, great. Thanks so much. Andrew, one last tariff question, if I can. I understand that it's maybe not the most pressing issue. But in terms of the global agriculture book, does it face the same challenges as domestic crop insurance does if crop prices fall? How should we think about that risk more broadly?
Andrew Robinson: Well, look. I mean, you know that here in The US, the federal program is effectively a price and yield program. And so, you know, there is obviously some exposure relative to price if consumption due to exports and, you know, becomes an issue. And similarly, although it's very crop specific whether, you know, imports might create greater demand, you know, domestically. What I'd say to you is that of what we have written so far this year, our US business is about 40% of our portfolio. This goes back to my point of being well diversified. And I think that we've taken measures to protect ourselves. And I will also say to you, Meyer, that we have reserved very conservatively. I'd say well above we would expect the ultimates to be. And so I feel like even under sort of a stress situation that we're pretty well protected.
Meyer Shields: Okay. That's very helpful. Thank you. And then I apologize if I missed this, but is the first quarter acquisition expense ratio a good proxy for the rest of the year? You talked about other expenses coming back maybe later in the year.
Mark Hochul: Yeah. Meyer, I maybe I didn't do a good job. Yeah. I think it's a pretty good proxy. Look. I'm expecting it to tick up a little bit. But, yeah, I would look at the first quarter as a pretty good proxy. Yeah.
Andrew Robinson: Meyer, the thing that, you know, you can imagine is that, you know, there's a really widespread. Right? So unsurprisingly, most of our wholesale driven businesses, right, transactional ENS, our marine unit, which sits in there, our professional lines business, all that is relatively high acquisition cost. Obviously, surety is off the charts. Surety, in fact, you know, depending on what class could be can be as much as 40%. You know, on the other hand, we have some quite low acquisition cost businesses. And so part of this is just, you know, where we're seeing the growth. And I think I'd echo Mark maybe a little bit more conservatively. I personally given how I sort of see the earn through and the opportunities that are in front of us. I think that we will see acquisition cost tick up here, you know, over the coming few quarters. I believe we'll also make some progress continued progress on our controllable OUE. But in aggregate, you know, it's probably likely that we're going to go up from kind of that low 28 number, you know, partly due just to the mix of business and also, you know, we're going to continue to invest in our business because we continue to believe there's good opportunities.
Meyer Shields: Okay. That's very helpful. And, Mark, it's for sure. Me, not you. I missed it.
Operator: And our next question is from Gregory Peters with Raymond James. Hi, Andrew and Mark.
Gregory Peters: Hey, Greg. Good morning. So Andrew, in your comments, you spoke about the submission growth and the retention. And, you know, all submissions aren't necessarily created equal. Right? And so, you know, some of the other companies in the public market have reported some volatility around their submissions. So maybe you could give us some texture about what you're seeing in the submissions. Are they all interesting opportunities? Are you still turning away a big chunk of them? Any color there would be helpful.
Andrew Robinson: Yeah. That's a great question. So I'll see if I can sort of parse it out. Let me start with the big one that a lot of folks focus on, which is within our ENS area where I highlighted that in this quarter, we were above 20%, and I would actually say materially above 20%. I think that there's still a very good flow. I will say that the competition for the business is increasing. So I wouldn't distinguish by saying we're seeing more submission activity that doesn't fit as compared to, you know, to prior quarters as much as seeing more competition, you know, on the things that are flowing. Now I will tell you that we really are a true surplus lines writer. So a lot of the stuff that we're writing is less exposed. But boy, you know, occasionally, you see some pretty crazy behavior out there. And sometimes you see, you know, a lot more activity than otherwise you might see. But good submission activity, and I don't think there's a difference in terms of the quality. Within, you know, a couple other areas, so for example, in industry solutions, you know, that submission activity is kind of running around 10%. And I think that we're pretty focused in terms of our distribution. And quite honestly, we tend to know the books reasonably well. So unless it's new business to those brokers, it might be accounts that we've competed on in the past, haven't won, and we want to compete again this year. And so I think that that's pretty steady. And I gave my commentary on surety where, you know, we don't include bid bonds in our submission activity, but bid bonds are the best early indicator in the numbers of 19% up, you know, over the prior year. Is a pretty good indicator that there's still a, you know, a strong flow that's going to follow. And then, you know, I would just say to you as it relates to other parts of our business, global property, A and H, the numbers aren't big enough to, you know, to make a difference. But one highlight for you is that in just to give you a sense for how strong we're hitting in A and H, our RFP submission count for A and H was up 59% year over year. Which speaks entirely to, you know, what a compelling proposition we've built in that market. We have a lot of distributors, trading partners who want to do more business with us, and we're seeing that in the RFP submission count.
Gregory Peters: Interesting detail. In one of the other answers or in I mean, I guess it was in your commentary. You're talking about the surety business, you talked about the government-related work, the federal contractors and stuff. Can you give us a sense of or size that component? You know, how much of your business is government-related, versus private contractors?
Andrew Robinson: Yeah. So the government portion, and I won't get these numbers exact, but, you know, the $150 million plus excluding anything tied to the SBA is about, I don't know, probably $20 million of our book. And we have a couple of distributors who are really sort of focused on that part of the market. And then, you know, and otherwise, the business is either, you know, business that is private or public-private together or public works. And, you know, that runs the gamut, you know, states, munis, etcetera. And I highlighted the federal sort of piece because it was the one piece in the first quarter that stood out. In fact, it's probably the only piece where we saw an outcome that was less than what we'd expected.
Gregory Peters: Hello? Okay. If I could just slip in one follow-up question on the program business. You know, you emphasized that you have an ownership position that feels like in the marketplace, there's growing interest in the program market or at least a lot of other companies are talking about that. Can you give us just a reminder or refresher on how you approach new programs and the due diligence process, etcetera, and how you're thinking about that market in the next couple of years?
Andrew Robinson: Yeah. Greg, thank you. And it's a great question. Let me just start. I think it probably most folks are aware that the program world has meaningfully outgrown the rest of the commercial market. And there's a whole bunch of reasons. There you know, there's obviously a great deal of private equity and equity consolidation, a huge amount of money behind it. And, you know, and I will say that there are some fantastic MGAs program administrators out there, and I'd like to think that, you know, we want to partner with those guys. Our strategy around that world is the same as our strategy with everything that we do that we manufacture, which is we're looking to rule our niche. So if we can partner with somebody who has capabilities that we can't replicate on our own, whether they be owing to some technology or product or expertise or distribution or whatever the case may be, and we see them as having a, you know, a view on how to build a really competitive position. And we can partner with them the right way, that's the sort of profile for success. And if you go down sort of our roster of program partnerships, they check the box on those items. Now I'll highlight a couple other things for you that are really important. You know, as I mentioned, we have material investments, you know, and that is a further mechanism for alignment. We try to ensure that the mechanisms that we use for compensating the program administrators align as much as possible to our own internal measures for how it is that we compensate underwriters. And so that's a critical component. I'll highlight a couple other things that are really important. We are very intentional about ensuring that at a minimum, the data flow that we are receiving is as close to equal to the data flow that we have for our internally managed businesses. So that if we want to ask and answer a question on hey, we want to look at a particular risk factor in terms of the frequency in, you know, developed over the first six months as compared to every prior, you know, accident year, you know, can we answer that question? And we should be able to answer that question as we could with any internally managed internally underwritten business. And so whether it be data as a minimum has to be equal, but oftentimes, we're exchanging technology and other things. And the last point I would make that's really important is I would argue that in many in our industry, it is absolutely impossible to perform an equivalent level to a competent full-stack insurer that has the claims. And now there are instances, for example, you know, we have a brown water, green water marine program with a great program administrator. And the claims expertise around that is very specific. And who does the claims is sort of singularly focused on that area of expertise. But it's really hard in like a GL class or, you know, or a PL class to believe that they're going to do it anywhere near as well as we can. And so every instance where we can do the claims, we do. And that's a huge difference in terms of how we approach it. And this bifurcation between underwriting and claims and the belief that you can deliver excellent results with those things sort of operating inside different organizations, particularly if those organizations are kind of like the larger TPAs, is absolutely just that is a proposition that I just don't believe in. And don't support, and we tend to sort of operate our specialty programs business accordingly.
Gregory Peters: That's great detail. Thanks for the answers.
Operator: And the next question comes from Andrew Kligerman with TD Co. And your line is open.
Andrew Kligerman: So global ag terrific growth. And I'm kind of would like to get a little more kind of color on where you're participating in the reinsurance markets. Is it more quota share? Excess of loss? Is some of it catastrophic in nature? What countries outside of The US are really big for you? Just trying to get a little color around what you like there and the kind of returns, you know, whatever you could share.
Andrew Robinson: Yeah. Thanks, Andrew. And for the question. So I'll share, you know, this is an area where I'm normally very open and transparent as an area. I'm going to be I actually listened to another company's call, and a similar question was asked. And that particular CEO was not answering the question fully, and I might not answer your question fully. I think there's no we want to say. But that said, look. To just list the countries and this would not be a complete list. It would include, in addition to The US, Canada, Brazil, China, India, Thailand, would be a handful. Are there others I'm missing? Those are major ones. It would include both crop as well as dairy livestock. We actually think of a couple of things in aquaculture, believe it or not. So it really runs the gamut. I'd say probably 90% of our exposure is quota share. And, yeah, I don't think that there's much more than I can say about it other than as I referenced in my commentary, at least in a couple of instances, we have product that we believe nobody else offers in the marketplace, which is part of the reason that we're winning. And as I said, I don't want to go too much further, but this is one of the places where if you bring in one of the best people out there and, you know, we surround them with sort of the right kind of capabilities, you can do something special and I think it's showing up in our results.
Andrew Kligerman: That was actually very helpful. So the next question is around the global property. So I see your gross written premium came off about 18.5%, but the retention was very good. I think you called that out in your remarks. So maybe, Andrew, could you talk a little bit about the pricing environment, maybe any color on where rates are going and maybe into kind of subcategories of the global property regional, whatever. Yeah. Again, same thing. Whatever you can share there would be of interest.
Andrew Robinson: Yeah. No. I'd be happy to share quite a bit. So and also thank you for that question. So first off, you know, we're writing global 1,000 accounts. We're writing accounts with very, very, very large schedules. As I mentioned, we're writing the primary layer. What that means is we're writing the layer that sits right above, you know, their deductible self-insured retention, which, you know, will oftentimes run in the tens of millions of dollars. You know, during sort of a hard market period, we might write, for example, a share of the primary $100 million. And as I mentioned in the remarks, one of the things that we're doing is we're writing over larger stretches. We might be writing over $200-$250 million. And the way that we've been able to do that is, you know, I think that there is a greater abundance of, in addition to we have a very large line that we work with with quota share support. And that line, by the way, got even larger by a full third as a result of our 4/1 renewal. But prior to that, you know, we were using that full line and then augmenting it with, I think, what's been a relatively abundant fact market, you know, to provide something that is a really substantive primary layer cover. And what I'd say to you is in terms of pricing, you know, it's a little bit hard because you're stretching over longer stretches and so forth. But, you know, it's definitely down, you know, kind of high single digits. But that said, the way that sort of the risk-adjusted pricing runs through for us, we are pretty darn confident that in combination with where we use FAC and so forth, that our risk-adjusted pricing or effectively our expected net underwriting margin probably is a lot less than the reduction in pure rate.
Andrew Kligerman: I see.
Andrew Robinson: And I will say our results have been so damn good. That this is the reason that we were able to not only increase, you know, our capacity by a full third, we had a very significant increase in participants who support us. And I'm actually I can't we're so well positioned against this market right now. I'm really, really pleased where we are. In what is clearly a very, very sort of rapidly changing rate environment. But I think our proposition is one that's rather unique simply because of the line size that we can bring.
Andrew Kligerman: So it sounds like you really like your returns in that business. Is there a risk that pricing comes off a lot more sharply in the next year or two? Or do you think it could stabilize?
Andrew Robinson: Well, it's come off really fast. Like, I mean, you know, like, we were tracing it. So last year, last year, this quarter, no. 7%, and that's where we really started to see things kind of level and maybe come off a bit. And, you know, the third quarter is a very quiet quarter for the global property market, and the fourth quarter is, you know, quite an active quarter. And so fourth quarter things came up, it felt like just things just the bottom dropped out here in the first quarter. And I, you know, listen, I don't know. You know, it's one of these things where we like our position. I think we rode the market up, you know, as the market presented. But, you know, the fact that we have, you know, over 95% account retention tells you that, you know, of the hundred plus accounts that make up that book, it's really sticky stuff. And I feel like we're going to continue to generate a good underwriting return, you know, under most sort of backdrops. And that compares Andrew, I'll remind you that like, when the cat markets were going crazy eighteen months two years ago, and we expressly said, we're not going to just go right into the cat markets because that stuff's going to come off. You know, I was listening to the commentary of, you know, one of our competitors on their earnings call saying, you know, well, you know, the market's gotten soft really quickly and, you know, and we're losing accounts. Like, of course, that's capacity swapping in that market. And don't want to be in that place. We want to be in a place that we can be durable even as the market softens. And I think global property is a really good example of that. And, you know, and I think that even if the market softens, yeah, could our business be when it peaked out at $2.50, could it go down to $1.50? Sure. But my guess is that we will find a way to make a good underwriting profit, and we will find a way to maintain a decent position with, you know, with a good portion of that hundred plus accounts that we do business with.
Andrew Kligerman: It's great. Thanks for the insights.
Operator: And our next question comes from Mark Hughes with Truist Securities. Your line is open.
Mark Hughes: Yeah. Thank you. Good morning. Anything on the lot pick when we think about subsequent quarters? You've talked about some of those growth dynamics, and that's very helpful. When we think about the accident year, loss pick, is this a good place to go, or will that move around a little bit?
Andrew Robinson: Well, I'll let Mark jump in. I think that, you know, probably in opposed to the prior years, in select circumstances for this accident year, you know, our loss picks, we started to reflect some of the, you know, the performance that we were seeing, meaning in specific circumstances, we adjusted down. Some circumstances, we adjusted up.
Mark Hochul: Yeah. Look. I mean, I think that, you know, setting aside kind of the earn through on mix, you know, was a good quarter for us. It was our best ex-cat, you know, accident year loss result that we've ever had. And I think it's a good reference point. I want to encourage anybody to take down their models. So, you know, we think that, you know, kind of the overall guidance that we gave at the beginning of the year probably the right guidance and, you know, but yeah, I think that you won't see a lot of volatility in our accident year loss results. As you haven't seen a lot of volatility in our accident year loss results in the 12 quarters that we've been public.
Mark Hughes: Yes. Right. Yep. Very good. Andrew, a key part of your strategy has been to hire new people. Bring them on. They build out their books, and then support your overall top-line growth. How is that climate now, your ability to hire, your appetite for hiring? Is this the right time in the cycle to be doing that? Just some perspective would be great.
Andrew Robinson: It's a great question. I think that what we are doing, Mark, is that, you know, we're evaluating our hiring plans based on what we're seeing in the performance of our business. So if we're, you know, if we're performing according to expectations and we don't see, you know, things moving to yellow in the markets, we're proceeding. And in other instances, we're unquestionably slowing down. There are a couple of things that we're working on that are strategic. They tend to be combining the expertise of our organization as it stands today with technology to potentially go after an adjacent part of the market. And those investments and the resourcing around them are going to continue because they're strategic for us. But I think, like, if you ask, hey. You know, there's a particular region in surety that, you know, we've been looking to fill. And if we have a candidate, we would say, you know, how are we performing? Do we have confidence? Do we want to make that, you know, that kind of commitment right now? And, you know, that kind of conversation repeats itself, you know, every day in our organization. I think as opposed to a year and two years ago, you know, I think we were just sort of pedal to the metal because we had confidence across the board. Now, we're just making sure that we're not making decisions on resources that we're going to regret, you know, at a later point.
Mark Hughes: Yeah. Okay. Mark, do you have the cash flow number in the quarter? I think you said you put $126 million to work at 6%. But if you looked at the cash from operation, do you happen to have that number?
Mark Hochul: I'll get that. I'm pretty sure it's right at $100 million, Mark, but I'll confirm it. I'm pretty sure.
Mark Hughes: Okay. Very good. Thank you.
Mark Hochul: Thanks, Mark.
Operator: And our next question comes from Michael Phillips with Oppenheimer. Your line is open.
Michael Phillips: Good morning, Mike.
Andrew Robinson: Hello?
Michael Phillips: Sorry. You haven't can you hear me okay?
Andrew Robinson: We can hear you now. Yeah. For sure.
Michael Phillips: Yeah. Thanks. I hit the bump set for data, and I you recap that your basis for, I think, for the recent four or so accident years. When I look at and, Andrew, this is kind of around, I guess, your commentary on commercial auto recently, pretty cautionary comments. When I look at the accident, your loss pick for commercial auto, it's down, you know, six, seven points in the recent accident year 2024. I assume that's just maybe because of repositioning that you've done. But just any comments you can make there on that tick for commercial auto. Thank you.
Andrew Robinson: Yeah. It's I think it's three simple things. One is to your point, it's absolutely about mix. You know, we're down to a book where we really were very satisfied with the mix. Obviously, we've driven a lot of price in as has everybody. No surprise there. But the thing I would absolutely unequivocally point you to is please do look at our frequency. If you look at the 2024 year as of twelve months, the frequency is down by over 50% as compared to only five years earlier. And you'll see at every period of seasoning, so twelve months for 2024, twenty-four months for 2023, etcetera, etcetera. The frequency is way, way, way down. And that frequency is really, you know, a key driver, obviously. You know, against an increasing severity backdrop that is flowing through into our loss picks.
Michael Phillips: Yep. Okay. Perfect. Thank you. Saw that. Appreciate that. And totally random question. But when we see lumpiness in the alt and strategic investments row, you know, I know your strategic investment is more on the private insurance space. Is that lump I assume the lump in this is more from the alt and not the latter. It just kind of want to check on that.
Andrew Robinson: Yeah. It is the alts. Yeah. And it's the old opportunistic fixed income portfolio. The arena managed portfolio that is down to 5% of our total investments at this point. That's the driver of the volatility.
Michael Phillips: Yep. Okay. Thank you very much.
Andrew Robinson: You are welcome.
Operator: I am showing no further questions at this time. I would now like to turn the call back over to Natalie Schoolcraft for closing remarks.
Natalie Schoolcraft: Thanks, everyone, for your questions. For participating in our conference call and for your continued interest in and support of Skyward Specialty Insurance Group, Inc. I am available after the call to answer any additional questions that you may have. We look forward to speaking with you again on our second quarter earnings call. Thank you, and have a wonderful day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.